Yuan Siong: Good morning from Hong Kong and welcome to our 2021 Annual Results Presentation. I hope that you are staying safe and well. I'm incredibly proud of how AIA's employees, agents and partners have responsive with dedication and care for our customers during the ongoing pandemic, while delivering strong financial results for our shareholders. Today's announcement demonstrates AIA's unique ability to deliver VONB, earnings, and cash. We have achieved growth in all of our key financial metrics. We increased our dividend for the year by 8% and we have demonstrated our ongoing commitment to shareholder value through a $10 billion buyback. Let me now take you through the highlights. VONB increased by 18% to more than $3.3 billion. Our large and growing in-force portfolio supported further growth in operating profit after-tax and underlying free surplus generation with both exceeding $6.4 billion in 2021. Our financial position is very strong with free surplus of $24.8 billion on a pro forma basis. EV Equity of $75 billion and shareholders' allocated equity of $52.1 billion both reached record highs. The Board has recommended an 8% increase in the final dividend, bringing the total dividend for 2021 to HKD1.46 per share. As a result of our very strong financial position, the Board has also approved a share buyback of $10 billion. This will enhance shareholder returns, while retaining the financial flexibility to invest capital in significant growth opportunities available to us. Our track record of performance reflects the resilience of our operating model, the quality of our people, and our commitment to shareholder value creation. In 2021, all of our reportable segments delivered VONB growth and VONB for the group outside Hong Kong exceeded pre-pandemic levels. AIA China grew by 10%, reflecting the strength of our differentiated Premier Agency strategy and was once again the largest contributor to the group's VONB. Strong demand from domestic customers drove an excellent result from AIA Hong Kong with 37% growth. AIA Thailand achieved exceptional growth of 34% with strong performances across all distribution channels. Our focus on scaling the capacity of our Premier Agency and close collaboration with Public Bank drove 26% growth in Malaysia. AIA Singapore delivered 6% growth, while other markets saw strong first half growth, offset by return of temporary containment measures in the second half. A key highlight was India, where we maintained our industry-leading position in the pure retail protection market and achieved strong growth across distribution channels. We have achieved a very strong and broad-based performance across the group, demonstrating our scale and diversified business portfolio across Asia. At the heart of our ambitious growth strategy is a step change in the use of technology, digital, and analytics. We are clearly outpacing the global financial services industry with more than 70% of the group's infrastructure now hosted in the cloud. Close to 60% of all transactions across the group are fully automated from end-to-end with no need for human intervention, supporting greater efficiency, faster turnaround times and leading customer service. In 2021, we have advanced our use of AI and analytics with more than 100 major projects delivered across the group, transforming processes throughout the organization. Our customer-centric platforms are designed to deliver more personalized and consistent service, while driving higher customer engagement and retention. Nearly all new policies are issued digitally with e-payments. And in seven of our markets, we now pay 100% of claims digitally. As you can see, our TDA transformation is achieving strong results for our customers, agents and partners. The group's strong VONB growth in 2021 was led by an excellent performance from our Premier Agency, up 20% and contributing more than 80% of total VONB. Our powerful digital agency platforms span the entire value chain from recruitment and training to lead generation, purchase and customer service. Integrating social media marketing into our digital tools has created new and compelling ways for agents engaged customers, generating over 2 million new leads and a material contribution to our sales. We have built an unparalleled agency platform over many years, and its superior quality is clear. Productivity, MDRT members and agency leaders all increased significantly in 2021. And our cutting-edge digital tools support the provision of high-quality advice as we elevate our standards ever higher. The strength of our differentiated Premier Agency model stands out in Mainland China where we have delivered substantial productivity improvements and higher agent income in 2021. Universal adoption of our advanced digital platforms drives higher productivity and efficiency, enabling faster scaling of our new operations while ensuring our strict quality standards are maintained. Our successful model focused on long-term professional careers delivers attractive income levels for agents, growing high-quality talent to AIA. While the market, as a whole, experienced headwinds in 2021, AIA China generated a significant increase in new recruits in the second half, successfully growing agent numbers. Since our subsidiarization in July 2020, our expansion into new geographies has been advancing at pace. We launched our Sichuan operation in March 2021 within just four months of receiving initial approval from the CBIRC. And we have opened our newest branch in Hubei, the eighth largest products by GDP. I'm also very pleased that the CBIRC has recently granted us approval to upgrade our operations in Tianjin and Shijiazhuang, enabling us to expand our presence through additional sales offices. We are making excellent progress as we replicate our highly successful expansion model, which delivered 74% growth across our new operations in 2021. AIA has a scale, ambition and financial strength to invest in additional growth opportunities to accelerate our strategy. Last July, we launched our 15-year exclusive partnership with the Bank of East Asia in Hong Kong and Mainland China, extending AIA's leading position in the Greater Bay Area. Our acquisition of Blue Cross advances our health and wellness strategy in Hong Kong and deepens our exclusive partnership with DEA by adding new AIA products. In January 2022, we completed the group's investment in China Post Life, further increasing our exposure to the enormous growth opportunities in the Chinese life insurance market. Our team of experts is already in Beijing, helping to support CPL as they advance their strategic priorities and bring financial protection to the underpenetrated mass market in China. Separately, AIA China has signed a distribution agreement with Postal Savings Bank that covers our current geographical footprint, which we will begin launching in the second quarter of this year. We also recently announced Amplify Health, our new digital health insurer tech business. This is the right time for AIA to play a leading role in transforming health care delivery across the region. Amplify Health accelerates AIA's health and wellness strategy and positions the group to capture significant new opportunities from Asia's rapidly growing health market. Total health expenditure is expected to exceed $4 trillion across our markets in 2030. The unprecedented combination of accelerated digital adoption, new advancements in health tech and significant unmet consumer demand underpin the tremendous strategic potential for Amplify Health. This is a natural next step in AIA's journey from payer to partner. We are leveraging the powerful combination of AIA's strong brand, unrivaled distribution platform and execution capabilities with Discovery's proven technology and more than three decades of health and wellness IP, which Amplify Health will own across Asia. Our vision is to transform how individuals, corporates payers and providers experience, health insurance and health care delivery, improving outcomes for patients and communities. I'm confident that Amplify Health will provide yet another key competitive advantage for AIA, helping us to grow new business value and deliver financial benefits. As the largest pan Asian life and health insurer, we have a vital role to play in addressing material ESG issues to safeguard a better future for the societies in which we operate. The long-term nature of our products places sustainability at the forefront of what we do each and every day. We have committed to achieving net zero greenhouse gas emissions by 2050. Importantly, we are working with the science-based targets initiative to set ambitious emissions reduction targets using the latest climate science. Critical to this ambition is the sustainable deployment of our investment portfolio, and I'm proud that, we have fully divested from co seven years ahead of schedule. AIA's industry leadership and the progress we have made in a number of areas, including corporate governance, human capital and risk management has earned us global recognition. As we support the transition to a better, more sustainable future, I'm confident that there's much more we can do, while helping millions more people live healthier, longer, better lives. Garth will now take you through the details of our financial performance and our capital management plans.
Garth Jones: Thanks, Yuan Siong, and good morning, everyone. In 2021, AIA has delivered a very strong and broad-based financial performance with growth across all our key financial metrics, demonstrating our financial discipline and the power of AIA's unique business model that enables us to capture the immense growth opportunities across Asia and deliver superior shareholder value. Let me now take you through the results in more detail. In 2021, the group delivered very strong VONB growth of 18% to more than $3.3 billion. AIA China grew by 10%, reflecting the strength of our differentiated Premier Agency strategy we supported an increase in agent activity, productivity and incomes. Traditional protection products accounted for the majority of AIA China's VONB with the regulatory change that took effect in February, accelerating demand and weighting VONB more heavily towards the first quarter. AIA Hong Kong grew by 37%. This impressive growth came from our domestic customer segment, supported by a higher margin with very strong performances in both our market-leading agency and our bancassurance channels. AIA Thailand also delivered across all channels, producing exceptional growth of 34%, supported by our proactive shift in product mix to protection-focused unit-linked products that drove a substantial increase in VONB margin. In Singapore, restrictions on in-branch meetings and international travel affected the bancassurance channel. However, the adoption of digital tools helped agency deliver double-digit growth in sales and 6% VONB growth overall. AIA Malaysia delivered excellent growth of 26%, supported by strong results from both agency and bancassurance. VONB for other markets increased in 2021 as double-digit growth in the first half was moderated due to strict pandemic containment measures in the latter part of the year. All of our reportable segments grew on a comparable basis and VONB for the group outside Hong Kong exceeded pre-pandemic levels. We actively assess product dynamics to deploy capital based on the ability to create value for shareholders over the long term. Strong growth was supported by an increase in VONB margin of 6.7 percentage points to 59.3% as a result of the positive shift in product mix, higher government bond yields and the reduction in acquisition expense overruns. Protection business accounted for 57% of VONB, while the share from unit-linked products increased to 14% following the successful launch of new products in Thailand. PVNBP margin also increased to 10% overall. These results demonstrate the high quality of our product portfolio, a key differentiator for AIA, and the major factor in our confidence in the sustainability and resilience of the group's future performance. EV Equity increased by 16% before shareholder dividends to a record high of $77.1 billion. Very strong VONB growth and positive operating variances of $437 million supported an increase in EV operating profit to $7.9 billion. Non-operating items added a further $2 billion in total, including $1.3 billion from positive capital market movements compared with our prudent basis. Closing EV Equity is shown after a further deduction of $4.4 billion for additional capital and reserves and the present value of future unallocated group office expenses. AIA strong track record of positive operating experience demonstrates the prudence in our embedded value assumptions and the quality of our in-force business. We continued to benefit from favorable mortality and morbidity claims experience, which reverted to more normalized levels following unusually lower medical claims in 2020, as a result of the pandemic. Expenses were broadly in line with assumptions, while persistency and other variances were positive. Overall, operating variances have added more than $3.6 billion to EV since our IPO. Our EV methodology uses spot market yields and trends over time to our long-term assumptions, which aim to smooth out short-term volatility in markets. While AIA is not immune to capital market movements, you can see from the sensitivities that our financial results remain resilient against short-term market volatility. Higher yields have a positive impact on our earnings and cash flow while this is offset in the EV sensitivities shown by a corresponding increase in risk discount ratings. We have a substantial allowance for risk in our discount rates, including a risk premium of more than 500 basis points for the group, consistent with the levels used since IPO. You can see from the chart on the right that our assumptions have remained prudent over time. Now moving to IFRS earnings. The group's operating profit after-tax increased by 6% to $6.4 billion, underpinned by our high-quality sources of earnings and proactive management of our growing in-force portfolio. Underlying OPAT growth was 9%, adjusting for withholding tax in China and normalizing for the exceptional claims experienced during the pandemic. AIA Hong Kong grew by 4% and exceeded $2.1 billion. AIA China also increased by 4% as underlying business growth was offset by withholding tax and exceptional medical claims. Excluding these items, OPAT grew by 10%. Singapore and Malaysia delivered very strong growth of 13% and 17%, while Thailand was broadly stable. Other markets increased by 10%, as growth from our in-force portfolio was partially offset by increased mortality claims. As with VONB, our OPAT is well diversified across markets, with the four segments, mainly covering Southeast Asia, producing 44% of the group total. Our earnings are also diversified by source with insurance and fee-based profits accounting for close to 60%. Shareholders' allocated equity provides a clearer reflection of the underlying drivers of the change in equity before the IFRS accounting treatment of bonds. Since IPO, shareholders' allocated equity has increased by more than 10% per annum compound to $52.1 billion, and this is after dividend payments of $13 billion to shareholders. As you can see, cumulative net profit over time is very close to operating profit, which has added around $47 billion to shareholders' equity, demonstrating our focus on long-term profitable growth. As you're aware [Technical Difficulty] 2023, we will continue to report LPAT and shareholders' allocated equity measures under IFRS 17. The change in accounting standard does not affect the underlying economics of our business. And consequently, we expect no material change to our embedded value, cash flow or solvency metrics. We are highly advanced in our preparations, including systems and operations, and we'll provide you with further details later this year. Finally, capital and dividends. Maintaining a strong and resilient solvency position is fundamental to any insurance business. The LCSM is the group's principal regulatory solvency measure, taking a fully consolidated view of local business requirements. Our cover ratio increased to a very strong 399% at the end of 2021. And as usual, we provide a reconciliation between LCSM surplus and free surplus in the appendix. The sensitivity of our LCSM cover ratio to both equity and interest rate movements is small, reflecting the resilience of our balance sheet and high-quality risk management. Free surplus after adjustment for acquisitions increased by more than $8 billion in 2021, before the payment of shareholder dividends. Underlying free surplus generation increased by 8% to $6.5 billion, and we reinvested a further $1.7 billion in growing our new business and also committed $2.4 billion inorganic opportunities through our investments in China Post Life and the BEA partnership. Non-operating items increased free surplus by $4 billion, mainly from positive interest rate movements. Overall, free surplus increased to $17 billion after the payment of shareholder dividends of $2.1 billion. In 2021, we received clarity on three critical areas relating to regulatory capital. The first was a new group-wide supervision framework. The second was the technical specifications for the new risk-based capital basis that applies to our local Hong Kong business. While this is expected to take effect from 2024, AIA has applied for early adoption. And subject to regulatory approval, we expect to apply the new basis from the beginning of 2022. Finally, C-ROSS 2 in Mainland China became effective from the first quarter. AIA China remains financially very strong under the new regime with no material changes to either EV or VONB as a result. Together, these developments mean that the regulatory solvency for our key businesses will now be risk-based and more closely aligned to the economics of how we manage our business while providing greater clarity on the group's capital position. On this slide, we show the pro forma effect of the move to Hong Kong RBC on the group's financial metrics. Free surplus increases by $7.8 billion as our liabilities are now calculated on a best estimate basis, while our required capital increases by $2.8 billion as we move to an explicit allowance for risk. The group's adjusted net worth increases by $10.6 billion being the sum of free surplus and required capital. Volume of in-force reduces by $7.4 billion, as the reduction in liabilities accelerates future distributable earnings into free surplus. This means that underlying free surplus generation will reduce by around $500 million in 2022, but lower new business strain in Hong Kong is expected to partly offset this. We do not expect a material change to the VONB because of the short payback periods in Hong Kong and the RBC regime has no impact on IFRS metrics. Overall, our embedded value increases by $3.3 billion on a pro forma basis at 31st December 2021. At the interim results, I said that we would come back and provide an update on our capital management plans. We follow a robust internal capital management framework. Backed by our financial discipline, our unwavering focus on profitable growth has delivered substantial free surplus generation. We look to return capital to shareholders that is surplus to our needs, while retaining sufficient financial flexibility to capture our huge growth opportunities and pay prudent, sustainable and progressive dividends for shareholders. We believe that AIA's ability to deliver across growth, earnings and cash sets us apart from our competitors. Our ongoing financial discipline has delivered growing in-force cash generation and a very strong balance sheet. On a pro forma basis, our LCSM cover ratio under the Hong Kong RBC regime is more than 400%. We have a very strong financial strength rating with robust liquidity and diversified funding sources. A key measure for shareholders is free surplus, which represents shareholder capital that is available to absorb stresses and to fund future organic and inorganic growth. Over time, the increase in free surplus and required capital has broadly followed the growth in our balance sheet, while our financial discipline has driven resilience, providing AIA with significant financial flexibility. As you can see, AIA's financial position is very strong across all of our key measures. With the highly attractive economics available to us, our main priority is to grow new business. Since IPO, we have delivered superior profitable growth, with VONB increasing by over 5 times. Through the ongoing financial management of our business, we've steadily improved both the returns on capital and the capital efficiency of the business we're writing. Our new business investment, as a percentage of VONB, has reduced from 144% to 51%, and we have consistently achieved IRRs of well over 20% and with shorter payback periods. We have a high-quality and diversified product mix, with virtually all of our VONB coming from traditional protection and long-term regular premium savings. And successive cohorts of profitable new business have consistently produced strong growth in earnings and cash generation over time. We have increased the annual shareholder dividend by 4.4 times since our first dividend in 2011. And for 2021, the Board has recommended an increase of 8% in the final dividend, bringing the total dividend for the year to HKD 1.46 per share, also up 8%. The Board will continue to follow AIA's established prudent, sustainable and progressive dividend policy, allowing for future growth opportunities and the financial flexibility of the group. The consistent execution of our profitable growth model and our financial discipline have generated close to $55 billion of additional free surplus since IPO. While our focus continues to be on profitable organic growth, with $16 billion invested in new business, we have the financial capacity to take advantage of inorganic opportunities. We maintain an active yet highly selective approach to identifying investments that accelerate our strategic priorities, strengthen our competitive advantages and provided with access to new and adjacent value pools. Since IPO, over $6 billion of strategic investments and partnerships helped accelerate our growth and strengthen our market-leading position. This includes $2.4 billion invested in 2021, including our investment in China Post Life and our strategic bancassurance partnership with BEA. Our unique business model and financial discipline have enabled us to do all of this and paying $13 billion of dividends, while growing free surplus to $24.8 billion on a pro forma basis. The Board has approved a return of capital to shareholders of up to $10 billion over three years through a share buyback program. This represents accumulated capital that is surplus to our needs, while retaining the financial strength and flexibility that allows AIA to continue investing in the significant opportunities available to us. We expect to commence the program as soon as practical following this announcement. We will periodically assess the group's ongoing capital needs as we aim to deliver sustainable and optimal returns to our shareholders. In conclusion, the group has produced another very strong set of results in 2021, delivering growth, earnings and cash. VONB was up by 18% with growth in all of our reportable segments. We increased our dividend for the year by 8%, and we have reinforced our ongoing commitment to our shareholders through a $10 billion buyback. Our results once again demonstrate the unique qualities of AIA. I'll now hand back to Yuan Siong.
Yuan Siong: Thank you, Garth. AIA is 100% focused on Asia, and our ownership structures allow us to capture the full economics of growth for our shareholders in the world's most attractive region for life insurance. Asia's long-term prospects remain strong and resilient, driving unprecedented wealth creation. AIA has leading and differentiated businesses across markets, where the middle class population is forecast to rise to 2.6 billion by 2030. The compounding of rapid economic growth, increasing efforts, growing health care spend and aging populations generates immense potential for life, health, wellness and retirement solutions. The COVID-19 pandemic has accelerated many of these structural trends and brought financial protection, personal health and wellness top of mind. Consumers are increasingly using digital and online capabilities in their daily lives, helping drive strong demand and engagement with our health and wellness propositions, including AIA Vitality. Our strategy is fully aligned with the structural drivers of growth, enabling us to build on our strong track record and deliver sustainable shareholder value. Let me take you through how we are capturing the opportunities available to AI on a regional basis, starting with ASEAN. We see enormous growth potential for our businesses across ASEAN. AIA has a long history in this part of Asia with significant scale in each of our markets. Thailand, Singapore and Malaysia together contribute one-third of the group's VONB, adding Vietnam, Indonesia and Philippines, AIA ranks number one by total ANP. We have built a multichannel distribution platform that is able to leverage the tremendous potential of these markets. In 2021, our Premier Agency grew VONB by more than 20%, and we also achieved very strong growth from our network of leading local bank partners. Thanks to our significant TBA investments, we have a modern technology platform and powerful digital and AI tools that allow us to accelerate processes throughout our business and deliver very strong results. I'm confident that AIA is in prime position to build on our strengths, seize the enormous opportunities at ASEAN and deliver superior profitable growth. India is an exceptional long-term opportunity for AIA, and our joint venture with Tata has a highly focused and differentiated multi-channel distribution strategy. By 2030, India's middle class population will double in size to more than 1 billion. Rising wealth and health care costs are driving increased life insurance demand, and coverage is still very low. Tata AIA is the industry leader in retail protection with a focus on quality and a highly digitalized business model, we have delivered excellent VONB growth through the pandemic. We are making strong progress in scaling our high-quality Premier Agency model in India, leveraging technology to expand geographically. And we established over 100 digitally enabled agency offices in 2021. Complementary to our leading agency, we have a diverse partnership business, including leading banks, brokers and digital platforms. Leveraging TDA, we provide seamless connectivity and a best-in-class customer experience, driving our growing success across our partnerships. Tata AIA is well positioned to capture India's massive long-term potential through our high-quality multi-channel distribution strategy. AIA has unrivaled capabilities to meet the growing needs for life and health insurance in Hong Kong and the Greater Bay Area. AIA Hong Kong is the number one MDRT company in the world with 29% of our agents MDRT members. In 2021, we delivered growth in the number of active agents, higher productivity and increase agent income. We also significantly grew the number of agency leaders expanding our capacity for future agency growth and activity management. In Macau, sales to Mainland China's visitors more than doubled as a result of increased travel. AIA ranks in the top three for agency new business in the GBA cities in Guangdong province. And we are the clear leader in Hong Kong and Macau. Our new partnership with the Bank of East Asia further strengthens AIA's position in the region. And our acquisition of Blue Cross expands our health care ecosystem, increasing customer engagement and providing new cross-selling opportunities. The GBA offers huge potential and we have a unique advantage with 100% ownership of all our operations, enabling our shareholders to fully benefit from the growth prospects of this dynamic region. Finally, in Mainland China, we remain confident in the substantial growth drivers that make this one of the most attractive markets in the world for life and health insurance. We continue to see significant potential from the expansion of middle class consumers and unprecedented wealth creation, compounded by exceptionally low insurance coverage. But you need the right business model to capture this opportunity. And AIA has the right model and the right strategy to anticipate and respond, as shifting consumer preferences and regulations drive increasing demand for high quality products backed by professional advice. With our Premier Agency at its core, our differentiated business delivers strong and sustainable results. More than 85% of our recruits are college graduates or higher. Our agents are five times more productive than the industry and achieve significantly higher income than the working population. As I said earlier, we are accelerating our geographical expansion. And as we enter new provinces and deepen our presence in existing geographies, our potential target market increases five times. High levels of digitalization drive enhanced productivity, efficiency and scalability, ensuring that our strict quality standards and leading customer experience are maintained as we expand. Our recent approvals, including successful launches in Sichuan and Hubei provinces add more than 100 million potential new customers to AIA China, with 300 million more to come from future new provincial branches. In our established geographies, we have a very strong track record, but have only covered just 3% of our target market. There is significant headroom for further growth for AIA in Mainland, China. To summarize, we have an unrivaled platform built up over many decades and hold leading positions in the vast majority of our markets. We operate in the most attractive region in the world for life and health insurance, driven by strong fundamentals. Our strategy aligns our scale, position and significant competitive advantages with these powerful drivers of growth. And as a result, we have delivered a strong and superior financial performance. AIA is in a unique position. We have the strength and financial flexibility to achieve large scale and profitable growth, generating superior and sustainable value for our shareholders with confidence. Thank you.
Lance Burbidge: We'll now move to the Q&A session. As usual, this will be conducted by teleconference. [Operator Instructions] I'm Lance Burbidge, Chief Investor Relations Officer for AIA Group. Together with me in Hong Kong, we obviously have Yuan Siong and Garth. Also available are our Regional Chief Executives and other members of our group executive committee. We're ready to take your questions. So operator, please, can you start the Q&A?
Operator: Thank you. Ladies and gentlemen, we will now begin our Q&A session. [Operator Instructions] Our first question today comes from Jenny Jiang from Morgan Stanley. Please go ahead, Jenny.
Jenny Jiang: Hi, management. Congratulations on the set of very strong results. And I think the buyback is really, really a big surprise to the market. And the business has done really, really well in the past. And Yuan Siong has laid out a lot of other promising strategies for long-term also. However, if you look at just 2022, I just want to share a little bit more probably business plan for us, given both from on China, be probably quite weak at the moment. How can we see growth here and there to maintain this steady recovery from COVID? The second question is about Hong Kong market. I think, unfortunately, Hong Kong is going through a very difficult time with the massive pandemic outbreak. So the life insurance business, are we changing our product mix of consumers and the rising standards to incorporate this? Or this is not a big issue for Hong Kong over the medium term? That's it. Thank you.
Yuan Siong: Okay. Thank you, Jenny. As you can see, we are all very pleased with our 2021 results. While the pandemic continues to impact many of our markets in 2021, we delivered a very, very strong set of results, demonstrating broad-based VONB growth across all our reportable segments of -- in total of 18% for the year. And we remain confident in our ability to deliver strong and sustainable growth in our -- across our markets. Now -- but I need to also bring -- bear this in mind. As the Omicron wave spreads across -- with the increased Omicron infections across many of our markets, we will see some temporary weakness. But as I emphasized, I think we remain confident in our ability to deliver strong and sustainable growth across our markets as the pandemic wave moves through our markets. I think, I also need to point to the fact that last year, there's an isolated and one-off fire sale that can be seen in Mainland China with the change in the CI definition. So we will also expect to see some temporary weakness in our Mainland Chinese market. But I think overall, we do expect to be able to continue to achieve and deliver strong results going forward. So I think maybe I can pass on to Jacky to talk about your question about product mix.
Jacky Chan: Thank you, Yuan Siong. First of all, I also want to supplement that our AIA China agency force is a very differentiated Premier Agency driven growth through increase in activity and a double-digit increase in productivity. And in 2022, we diversified our product mix further. So our first quarter, some start actually involve both a long-term protection product with a new ROP critical units product and also our long-term saving retirement saving product. So it is for a very diversified product mix and also help our Premier Agency, to deepen the share of wallet of existing customers. In fact, the high majority of customers, who bought our long-term saving retirement product, those who already bought our protection product. So this is to give you a sense about the diversifying product mix in AIA China. And for -- here's to Hong Kong. We all know understand the current COVID situation in Hong Kong. I would like to share with you that, first of all, our Macau business actually did very well. Actually, it's across both domestic segment and MCV segment. And we are providing more support. Our Macau is providing higher capability and capacity to take on the MCV business further in this year. So you may expect this would also have some impact in the shift in the product mix on that round. And in the case of Hong Kong domestic, we are really supporting our people. So we provide all the support to our people both our staff and agents, full telemedicine, full rapid test kit, et cetera, et cetera. And we also support our Hong Kong community through our HKD 40 million support to the elderlies and under privileged. And you can imagine doing this kind of social distancing restriction, our agents already shift to using more of those non-face-to-face easy sign in everywhere. And I want to say that thank you to the insurance authority who has further relaxed the temporary measure to support the insurance industry by opening up all the product classes for non-face-to-face selling through easy site [ph] et cetera. So that will support during this interim period. As Yuan Siong has mentioned, we believe this is a temporary kind of situation. And both the Hong Kong and the China, our agency force, are well positioned to capture the long-term opportunities we have in both the Mainland China and the Hong Kong-Macau market.
Garth Jones: Thanks, Jenny for the question. And next question, please.
Operator: Thank you. The next question comes from Thomas Wang from Goldman Sachs. you may ask your question, Thomas.
Thomas Wang: Thank you. Good morning, everyone. Thank you for the opportunity. Couple of questions from my side. Firstly, I think I really welcome the share buyback. But can you just share how do you treat between the share buyback and maybe a probably higher dividend payout ratio? Or what's your thinking around that? And then certainly the lease [ph] in acquisition in Hong Kong on Blue Cross and Blue Care. So that's an interesting acquisition going to -- acquiring a general insurance license and our off-line medical service capability. Is this something -- can you share us the thinking behind that? I mean, is this something that you will look to trading at the markets. Thank you.
Yuan Siong: Okay. Thank you for your question. As Garth explained in his presentation, we have a very well-defined capital management framework. Our focus is obviously on maintaining. Firstly, the priority is the resilience of our balance sheet and to fund profitable new business growth, of which we are very confident of the long-term structural long-term prospects of growth. There are many growth opportunities for us in the markets that we operate in, also to continue to support our prudent, sustainable progressive dividend policy and to fund disciplined M&A activities. As to the way we return excess capital, I'll hand over to Garth to explain.
Garth Jones: Yes. Thanks, Yuan Siong, and thanks, Thomas. Yes, if you think about it, the way that we've described it in the text is the way we think about it, which is this -- the return of capital is in excess of our needs. And that capital has been built up over many years since the IPO. This is our first buyback. And it's the way that the free surplus is accumulated into our stock. We look at that and we'll assess periodically if we -- if that then is sufficient for our needs. And if there's any excess, then we'll obviously look to seek ways in which we can further optimize returns to shareholders. We believe we've done that again with the buyback that we announced today. On the dividend as Yuan Siong said, we have a track history of prudent, sustainable, progressive growth in the dividend. And that's ongoing in terms of how we think about dividends and rather than being a stock question. And so when we look at that, we see that we can again increase our dividend by 8%, again, another substantial increase in the dividend. And as I said in my speech, the 4.4 times increase from the very first dividend in 2011. So I think that's a reflection of a prudent, progressive and sustainable track record.
Yuan Siong: On your question about Blue Cross, right? I think a Blue Cross is one of several M&A or inorganic investments that we made over the last 12 months. I think as you can see, we have a very strong financial position that we can actually fund these acquisitions of almost $2.4 billion over the last 12 months. And at the same time, build up our surplus position to be able to deliver this $10 billion share buyback program, so we will continue to invest in targeted and inorganic opportunities that make sense, both strategically or financially to us. I think in terms of the healthcare opportunity, we see the healthcare is a huge opportunity in Asia. Healthcare, represents -- we are looking at US$4 trillion of healthcare spend in 2030. And currently, AIA is participating in the healthcare space as the leading private health insurance player in Asia. And the acquisition of Blue Cross will add to our capabilities in IFRS in the healthcare space. In terms of -- it will also extend our collaboration with the Bank of East Asia. I'll hand over to maybe Jacky and then Stuart to talk a bit -- first on -- firstly, Jacky to talk about this specifically, and then Stuart to talk about our healthcare missions overall.
Jacky Chan: Thank you, Yuan Siong. We are very pleased to have deepen our cooperation with Bank of East Asia. In fact, you should note that both AIA and BEA are over 100 years young in this market. And we are very happy that AIA Hong Kong can further our cooperation with BEA, which is a major local bank in Hong Kong and also across the GBA area. And the acquisition of Blue Cross and Blue Care will trend our healthcare proposition and also the healthcare ecosystem in the Hong Kong market. And that will bring up, I believe, the sustainable growth momentum, especially come from the health insurance area. So maybe I pass it to Stuart.
Lance Burbidge: We can't hear you, Stu. Let's move on to the next question and we'll come back once we've sorted out the sound issues. So operator, can you do the next question, please.
Operator: Thank you. The next question comes from Charles Zhou from Credit Suisse. You may ask your question now Charles.
Charles Zhou: Hello. Hi. Good morning, everyone. This is Charles from Credit Suisse. I have two questions and both are related to China. First of all, I think in the current stock market, we see many other sectors are seeing multiple policy categories and even sanctions. But I think for AIA, we're glad at least we still have some hope and also for the policy tailwind such as the China expansion. I think almost one year has passed since you've announced the establishment -- or sorry, the approval for Hubei branch. And in AIA has said in the past that you plan to establish one to two branches per year in China. So we -- so is this actually the case and we have some hope of new branches this year. This is my first question. And second question is about the China Post Life transaction. So can you share any details about the program that you have so far? And as you may know, this company has several rounds of capital structure since establishment due to product mix, which is very, very capital consuming. So I just wonder that will you continue to inject more capital in churn-out profile, making margin to be kind of slow in terms of turnaround and they need more capital in your annual -- more capital kind of needed? Thank you.
Yuan Siong: Okay. Thank you, Charles, for your question. Move on China. Obviously, China is our largest contributor and will continue to be our largest contributor to VONB. We have a very successful and differentiated model in China, and we are very pleased with the results that our Mainland China business has delivered in 2021, which is in quite challenging market conditions. I think this proves the resilience and strength and quality of our operating model in Mainland China. Since the subsidiarization of AIA China in 2020, we have been advancing our geographical expansion at pace. We are very grateful to the regulators for the support that they have shown to AIA in terms of the pace with which they've approved our new license services. As you recall, we expanded into Sichuan, to Hubei. And recently, we upgraded our Tianjin and Shijiazhuang sales office to four branches. And we are in close discussions with the regulators about future expanding into new provinces in 2022 and beyond. I think I would also like to highlight the fact that in our existing footprint in the Shanghai, in Jiangsu, et cetera, in our existing geographical footprint. There is huge headroom for future growth for AIA China as well because currently, whilst we have a very successful business in these geographies, our penetration in the -- our target market in these locations is still quite low. Now, I hand over to Jacky to supplement on China, and then we'll take up the question on China Post Life.
Jacky Chan: Thank you, Yuan Siong. As you know, life insurance industry is always a regulated industry. That is good because this is a long-term financial protection for the customers in the market. In Mainland China, as Yuan Siong just pointed out, we have been getting successive approval. You'll recall that in March last year, we are able to get the approval to operate our Sichuan province. And then later on, in October last year, we also got the approval to operate our Wuhan, Hubei branch office. And that was -- the business was launched in January 2022. And also, just recently, in January and February, we got the approval to upgrade our Tianjin branch into a Tianjin sales and service center into a branch office, and we also got the upgrade of the Shijiazhuang SSC into a central sub-branch. So we can see that there has been a successive really movement in this expansion in the Mainland China market. And we continue to cooperate with the regulator very closely in all the areas. And so far, I would say it has been a very positive dialogue. So maybe I'll pass it then to Yuan Siong.
Yuan Siong: On CPL, I think we completed our investment getting final approval from all the regulatory bodies that needed, that have to approve this transaction. And we did it over a period of just over half a year, which is actually a very, very fast paced approval for such a transaction. So we are, again, very grateful to the regulatory authorities in China, all the government bodies that have had to approve this transaction for the support that they have shown to AIA. As we explained when we announced the investment, we will send in a small, high-quality, highly experienced technical assistance team to help CPL. And this team has been already in place since the end of last year. And very senior team of very seasoned, experienced insurance professionals are led by our Group Chief Actuary -- who was our Group Chief Actuary for AIA since IPO, and he's now in Beijing working in the CPL office. And one of the focus areas, obviously, would be to help them in terms of the product mix, capital management, actuarial management and financial management, including other areas like distribution management and asset liability, matching investments and technology, digital and analytics. So this is what we can share on the CPL investment now. Thank you.
Garth Jones: Yes. Perhaps just to add to your specific question, Charles, yes. I think if you look, you'll see that CPL reported a very healthy solvency position at the end of 2021. And that doesn't take into account the capital contribution from AIA, because we've received final approval in January, which will improve it further. So, -- we don't expect it to put more capital into CPL. We've seen solid progress in CPL improving its product mix. And clearly, its back book is relatively short-term and well matched. So C-ROSS 2 shouldn't have a big impact. Yes.
Lance Burbidge: Okay. Before we go on to the next question, I think we can get Stu to come back on health.
Stu Spencer: Yes. Hi. Thank you so much, Thomas. Thank you for your patience. And thank you for your question on Blue Cross, which is a really a terrific segue to talk more broadly and comprehensively about the direction that we're taking in health care as a strategic ambition and fundamental imperative for the group. And as Yuan Siong had indicated, it is a multi-trillion dollar opportunity by 2030, in markets in which we operate. And it's a particularly fast-growing component of the global economy. Now Asia, not surprisingly, is growing the fastest, fueled by those structural drivers of rising wealth, aging and growing population, disease burdens and increased demands brought on by the pandemic. Now, these trends are generating what we see as significant value creation, high returns and high multiples for those who are participating in this marketplace. And it's really important for me to emphasize at this juncture that AIA is, already the leading pan-Asian health insurer, okay? We have a major franchise covering millions of customers at both the individual and group corporate level. And we are positioning AIA, really to seize this massive opportunity in these value pools to fundamentally shape the future of health care across Asia to drive better economics, deliver better care, better customer experience and better health outcomes, because we recognize there's a fundamentally urgent need for better, simpler, more affordable health care. And this, if I may, is where we see Amplify Health playing a transformational role. So imagine, the leading pan-Asian health insurer adding on and creating the leading pan-Asian HealthTech and InsurTech provider at the same time. So we see this as a very, very powerful combination. And at its core, Amplify Health is a state-of-the-art HealthTech and InsurTech platform that supports all essential value-generating processes in today's private health insurance business. And it's built on Discovery's proven technology and possesses more that three decades of health and wellness IP. So with its data and analytics engine, we think Amplify Health is going to support all players and stakeholders in the ecosystem, to enable growth, as I said before, improve productivity and create real shared value for the whole system, for payers, patients and providers alike. So we see it as incredibly complementary to AIA's health insurance business, while also opening up crucial and additional and substantial growth opportunities from the provision of HealthTech services and InsurTech services to third-party clients across Asia. And as Yuan Siong indicated, we see this becoming a critical competitive advantage for AIA, helping to grow new business value, delivering significant financial benefits, and opening new value pools. I should say that in the immediate term, Amplify Health is going to play a crucial role supporting our own health insurance business by integrating more health care services into our offerings and driving further AIA proposition differentiation and technical excellence. Thank you.
Yuan Siong: Thank you, Stu. And we can go the next question please operator.
Operator: Thank you. The next question is from MW Kim from JPMorgan. Please go ahead.
MW Kim: Good morning everyone and thank you so much for the opportunity to ask question and congratulations on very strong performance. There was a comment on National about the Blue Cross acquisition in Hong Kong and strategic positioning on health and technology moving forward. So, on that basis, I want to ask whether AIA has intention to plug in more general insurance business segments across the Asia expanding the scope of the business domain. The second is about IFRS 17. So, do we expect the AIA ongoing the new business value disclosure post IFRS 17 as the key metric? And also, would the Hong Kong, lift-based capital disclosure in 2022 be a good leading indicator to estimate contract service margin and best estimate liability from existing liability reserve on the balance sheet? Thank you.
Yuan Siong: Yes. Thank you, Kim for your question. As Stu so eloquently explained our ambitions in health care, especially in health insurance, I think we are very pleased with the recent acquisition of Blue Cross. Yes, Blue Cross has general insurance license and the focus for Blue Cross will be on the provision of health insurance. That said, I think we have -- in several markets, we do have a property and casualty insurance or general insurance, license, particularly in Malaysia and a number of other end markets, including Hong Kong, we also do have a general insurance license. I think maybe I'll hand over at this point to Bill to talk about how we are using these licenses to help our aspect assess even more customers that we can cross-sell and upsell to.
Bill Lisle: Thanks, Yuan Siong and thank you for the question, MW. Just building on the question, if you remember, July last year, we launched our new digital platform partner channel, which -- while still in the early days, we're very excited about this. And this combines our P&C intent working with best-in-class digital partners across Asia, giving us access to new demographic customer segments that we wouldn't normally get access to. So, even though it's early days, we've onboarded 13 new partners through 2021. You remember some of them, Practo in India; True Digital Group in Thailand; [indiscernible] Digital, Malaysia; Tiki, one of our most recent partners in Vietnam; and Shopee in Malaysia. These 13 partners alone give us access to over 360 million potential new customers. And we're accessing those customers with very simple lifestyle-related, scenario-based type of propositions that allow us to bring those customers into our ecosystem, put them through our omnichannel and be able to match them with the right agents for upsell, cross-sell. Looking at our two more recent partners, Touch 'n Go digital in Malaysia, we launched a WalletSafe protection proposition, first of its kind in the market. And within the first three months of launch, we had over 200,000 policies that we can now bring into our ecosystem and match them to the right agent for upsell, cross-sell opportunities. Similarly, with shopping and access, we've put in place some very simple propositions around dengue fever cover and obviously, COVID cover, which is very topical. And in a short space of time, we've acquired over 30,000 new customers. So still early days, but partnering with best-in-class digital partners, expanding our P&C opportunity, again, recently in Vietnam with Tiki and in Malaysia with Touch 'n Go. And we're using a very consistent tech platform with as we partner with ZA Tech. We've now got it rolled out starting in Malaysia. We've rolled it out across four markets, and we expect that we continue through the rest of this year to another three or four markets. So still early days, but a very exciting channel for us.
MW Kim: Sorry.
Yuan Siong: We’re very well advanced in our preparation for the transition to IFRS 17. We've embarked a multiyear project, and we are very well advanced in our preparations, and I'll hand over to Garth to talk about.
Garth Jones: Yes. Thanks, Yuan Siong. As you said, we're very well advanced in our preparations both operationally and in terms of our readiness. At the moment, it's still a bit early to comment on the exact impacts of IFRS 17. I think what we will see in IFRS 17 is that there will be a sort of a change in not only the basis of calculation, but also the disclosures that will be made, and so we'll come back later in the year with further details. What we will be doing though is it's clear that we'll continue to have the operating profit after tax and shareholders' allocated equity under IFRS 17. But there'll be no impact on the VONB, the embedded value and so on capital and cash metrics because fundamentally, we -- it doesn't impact the way that we run our business, which is based on the fundamentals and economics of our business. It's really just the reporting changes.
Lance Burbidge: Okay. And by all means, come back to me, MW, if you want to follow-up on that. Next question please.
Operator: Thank you. The next question comes from Kailesh Mistry from HSBC. Please go ahead, Kailesh.
Kailesh Mistry: Hi. Good morning, everyone, and thanks for taking my questions. First one is on Slide 9 on China. You highlight 74% growth from the new provinces. What proportion of overall Chinese MBV do they represent now? Second question is on the Postal Savings bancassurance arrangement. Could you just outline how long the agreements from -- for four, sorry? Any costs associated with it? And it looks like it's open architecture, so nonexclusive. So, who are the other players on that platform that you would be competing with? And then the last question is on Hong Kong RBC. I guess two things there. Firstly, roughly, on an annual basis, how many solvency points would you accumulate per annum? And secondly, what would be the upper end of your risk appetite on that RBC, i.e. at what point do you think about whether you consider another return on capital? Thank you.
Yuan Siong: Okay. Thank you, Kailesh. First, on the new operations, we are very pleased with the progress made. I know I think we have a well-developed playbook when it comes to launching our new operations. As you can see, when we got approval for the Sichuan branch, it took us four months -- four to five months to launch our Sichuan branch. And at the launch, we were able to -- in such a short period of time, we were able to have already got close to 400 agents at a point of launch of the Sichuan branch and all high-quality college graduates, high -- and the new operations we were able to get the productivity and activity levels close to our established -- long-established operations in a very short period of time. And we have seen the same with our Hubei branch as well. Yes. But that said, I think compared to our existing geographies, these new operations will still not be very sizable, as compared to the overall AIA China's business and a few years before the new operations can become very material -- a material contribution to the AIA China overall new business. I think the way we see is that as we add on new provinces, as we expand within each province from the provincial capital to the second-level cities within the province, of which there are many -- and as we explained, our addressable market target markets would expand five times, and we see that this will add new layers of growth as we put on new geographies, new provinces that will support a long-term sustainable growth, strong and sustainable growth for many, many years in Mainland China. Now on the Postal Savings Bank Cooperation, as you recall, when we announced the investment into China Postal Life, we also mentioned that we will be setting up a business cooperation committee between AIA Group and the China Postal group, whereby we will be looking at opportunities for further collaboration. And one of these -- the important areas of collaboration, obviously, is this distribution agreement with Postal Savings Bank. We are more focused on the VIP customer segment of the Postal Savings Bank in the -- where we have overlapping operations geographically. As you can see, our investment in China Post Life is a long-term investment. So naturally, our cooperation with the China Postal Group, and through China Postal Group, with Postal Savings Bank is a long-term cooperation. So -- and then I hand over to Garth on Hong Kong RBC.
Garth Jones: Yes. On Hong Kong RBC, Kailesh, the introduction will obviously change. The solvency ratio calculation, both in the local Hong Kong business, on the Hong Kong RBC basis, as well as our group-wide solvency, the LCSM ratio basis, and there'll be changes in both the numerator and the denominator of those calculations. I won't go into the details here, but just to suffice to say that, our position will remain very strong on both basis. You'll see the numbers will eventually come out in the half year results, assuming, as expected, we're able to early adopt in the first half of the year. But the critical thing is that, we'll be maintaining a very strong solvency position. And then as far as the free surplus and the buyback we announced today of $10 billion, we will, obviously, solvency and maintaining a very strong solvency position through stresses is one of the considerations, as I outlined in my description of our internal capital framework. And there are a number of other things that we look at, not least of which is our growth, and we continue to see lots of opportunities for growth and to deploy capital in growth. So we'll periodically assess the group's ongoing capital needs as we aim to continue to deliver sustainable and optimal returns for our shareholders.
Lance Burbidge: Next question, please operator.
Operator: Thank you. The next question comes from Kelvin Chu from UBS. You may ask your question, Kelvin.
Kelvin Chu: Hey, thanks for the opportunity. This is Kelvin Chu from UBS. Congrats again on the strong results. I have two questions. The first one is on the agency channel in Hong Kong. Obviously, the border has been closed for more than two years. Your domestic sales was very strong last year, but what about your agents who used to focus on offshore sales to Mainland visitors? If the border reopens at some point, how ready AIA Hong Kong is in terms of addressing the upcoming demand in terms of distribution bandwidth? And how long does it take to build some of your agency teams? Another question is a follow-up on Amplify Health, a question specifically for Yuan Siong. So in the long term, what's your ambition on digital strategy for AIA in addition to better enabling your health issuing business with technology, do you also see AIA's business model gradually broadening towards health care and potentially also providing technology as a service? And in which areas do you expect discover to add the most value into the JV? Thank you.
Yuan Siong: Okay. I think we are very pleased with the results that we saw from our AIA Hong Kong in 2021. I think, supported by very, very strong performance by our agency force. As we explained, 29% of our agents in Hong Kong are all MDRT members. So we have the most productive and high-quality agency force in Hong Kong. And now I will pass on to Jacky to talk about specifically about your question on the border as an MCV focus and non-MCV focus. As you -- as we explained before, I think we have been doing a lot to train and motivate our MCV-focused agents to sell more to domestic and to develop the domestic market as well. So maybe, Jacky?
Jacky Chan: Yes. Thank you, Yuan Siong. I just want to add that the Hong Kong agency force is a very strong agency force in the region. And the number of MDRT in 2021 is the highest number worldwide on a company basis, over 5,000 MDRT. As you said, the Hong Kong 2021 business was driven by very strong domestic customer segment with growth both in the domestic customer segment agents, ANP and also a double-digit strong growth in bancassurance too. As Yuan Siong has told now, almost over two years in this pandemic situation, we have been training, supporting many of our MCV agents who are still residing in Hong Kong and Macau, to really shift their focus to develop the domestic market. So they are all here, and I'm very happy to say that they continue to provide necessary support to an MCV customer, et cetera. So I would say that MCV segment has been a long time a customer segment in the Hong Kong and Macau market. And you also see a very strong growth in the MCV segment in Macau in last year. So we are very confident that once the border is more open between Hong Kong and Mainland, China, the MCV business will come back to Hong Kong, and our agents will be very ready to serve the MCV customer segment.
Yuan Siong: Okay. On your question on Amplify Health, as Stu very eloquently explained, our -- we see the opportunity in health care in Asia. We are already a leading private health insurance provider in the markets that we operate in across Asia. We see that Amplify Health initially will focus on leveraging on the significant IP that we will own through Amplify Health for Asia. That was developed over 30 years by Discovery and other health insurance and health care assets that we personally -- we were also -- AIA has developed over the years to help us accelerate the growth of our health insurance business across Asia, of which we see that there's a significant potential. So that will be the initial focus. But I think I will not repeat what Stuart -- I think he would -- he has also eloquently expounded on the future opportunities for Amplify Health.
Lance Burbidge: Okay. We have time for one more question. Thanks.
Operator: Thank you. The final question comes from Leon Qi from Daiwa. Please go ahead, Leon.
Leon Qi: Hi. Thanks very much for giving me the opportunity to ask few questions. I have three questions today. The first one on basically China business. Well, I think your China VONB margin has been a positive surprise given just how...
Lance Burbidge: We've lost Leon. Sorry, Leon, could you start the question again because we lost you there for a second.
Leon Qi: Sure. First question is on China VONB margin. I think given you just talked about rising penetration of savings products in your protection client base and also launching of life protection products, presumably having lower VONB margins. However, last year, when we look at the reported numbers, excluding the withholding tax impact seems the VONB margin has been largely unchanged year-on-year. So if management could help us understand what are the factors driving the margins other than a likely unfavorable change in product mix, what else you are doing to lift the VONB margin in Mainland China? Second question is on your capital management. Trying to understand overall, Garth just mentioned that we expect our ROE to be accretive. But more specifically on China after C-ROSS revision, do we expect our core solvency margins in Mainland China to be organically self-sufficient? And also at this level, do you have an ideal or comfortable level for your LCSM coverage ratio? And a technical one on the buyback. Are we going to retire the shares to the buyback? Or we will use them for staffing incentives in terms of the share of the buyback? And last question, to conclude. As usual, I would like to ask to Yuan Siong, how you think the industry has changed over the past six, seven months. And if you could put it into the context of the overall COVID impact on the whole life and health insurance industry in China since you took office in key [ph] when COVID just started. We talked about a lot of things that AIA did in the past six months, TDA, health setting initiatives and also ESGs, and if you could help us relate all of these new initiatives from AIA to the industry-wide changes and how you are reacting to these mega changes in the industry. Thank you very much.
Operator: Ladies and gentlemen, we have just lost connection with the speaker line. Please continue to hold and we will recommence shortly.
Lance Burbidge: Operator, I don't know whether you can hear me. If you can, Leon, we'll come back to your questions. Can you hear me?
Operator: I can hear -- I can hear you now. I'll just join you back through.
Garth Jones: Lance, do you want to just try again? Can you hear me? Okay. What we'll do is we'll close the call here, and then we'll come back to you with your final questions. Well, Lance will come back to you. Okay. Thank you all for dialing in, and thank you for your attention. Thanks. Bye.
Operator: Thank you, ladies and gentlemen. AIA 2021 Annual Results Briefing has come to an end. Thank you for joining.